Operator: Good morning. My name is Tiffany and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Q3 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instruction). Denver Harris, you may begin your conference.
Denver Harris: Thank you, Tiffany. Good morning, everyone. Thanks for joining today's conference call. With me I have Sandstorm's President and CEO, Nolan Watson; the CFO, Erfan Kazemi; and Senior Executive Vice President, David Awram. Before we begin, please be advised that some of the commentary on today's call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements I will now pass things over to Nolan.
Nolan Watson: Thank you, Denver, and good morning, everyone. This morning I’ll be walking you through the Q3 financial results and discussing a few specific items, including the Premier acquisition, then I’ll also provide a high-level business update and then what I'll do is we'll hand it over to Erfan, our CFO for a more detailed financial review, and Dave Awram for a more detailed technical update on a few of the projects. Then we'll open it up for questions. So with respect to the financial results, Q3 was a record quarter with respect to gold ounces sold. We sold 9,570 ounces, excluding ounces from Premier. If you include ounces from Premier, it would work out to approximately 11,000 ounces during the quarter. That resulted in operating cash flow of $8.6 million. We are reiterating our gold sales guidance for the year in that we still believe we should have a minimum of 33,000 ounces for 2013, which is exclusive of any ounces we recognize from Premier and providing an estimate range of 33,000 to 37,000 ounces for the year. There has been some confusion in the public as to whether certain publicly stated figures with respect to gold sales include or exclude the Premier figures since we have now acquired 100% of Premier. Next year, so beginning in 2014, we’re going to transition over to providing guidance for sales in gold ounces to include royalty ounces from Premier. With respect to our earnings, during the quarter we recognized a one-time impairment of the Bracemac-McLeod stream which we have converted into a 0.6% NSR and although this technically decreases the nerve of the asset, our counterparty to this transaction used to be Donner Metals and now our counterparty is Glencore directly. Glencore has already sent us our first royalty check. In addition, during the quarter, we had some administrative and project evaluation expenses related to the Premier acquisition which will not be recurring amounts. With that, I will now move into a more detailed update on a number of fronts. What I like to do on these investor calls is answer some of the more commonly recurring questions that our investors are asking. Over the past few months, some of these questions include, what was the primary reason behind the Premier acquisition now that the Premier acquisition transaction is closed? What does it mean for Sandstorm in terms of staffing and administrative costs and size of deals that Sandstorm will be doing? Is the Luna ramp up still going well? What is the status of Colossus and what are our thoughts on acquiring new streams or royalties in this market environment? So starting with the Premier acquisition, to refresh everyone’s memory, part of the reason that we bought the 60% ownership position in the first place was to have a corporate development team that had the time to analyze and complete the acquisition of smaller royalties, as well has having a presence in Toronto due to the significant number of [cagen] mining companies that are headquartered out of Toronto. What was out in practice is that the costs at Premier, including stock-based compensation was running at nearly $5 million a year. And we felt that because of the administrative infrastructure that we have now built at Sandstorm that we have to leverage off of, we felt we could get all the benefits that we were originally looking for out of Premier for about one quarter of the cost. Therefore even though we have now acquired 100% of Premier, we have decided to keep a very small two-person corporate development office in Toronto. So we get that additional capacity and that Toronto presence that we were looking for, but we’ve eliminated all other job positions at Premier and we’ll be leasing out the old office space that the administrative costs that we have been consolidating will decrease noticeably starting in Q1. It’s worth mentioning that this acquisition technically occurred after the quarter end and there were some severance costs and some one-time transaction costs that will be expensed in the fourth quarter, but after Q4 you’ll see these administrative costs come down. Therefore, overall going forward we now have a corporate development presence in both Vancouver and Toronto and we now have the capacity to do smaller deals as well. In fact we’re looking at some various smaller royalties as we speak and we’re doing it all for less cost than before. So moving on to Luna, overall the Luna ramp up is coming along well. I’ll let Dave speak to it in a bit more detail. But I think one thing that is worth bringing everyone’s attention to is the $10 million loan that we recently provided to Luna this quarter. As some of you will recall, in 2012 we agreed to loan Luna $20 million towards this phase one ramp up costs. This is the first draw down of that facility. Luna has told us that barring any unforeseen circumstances, there’s a good chance that they will not require the further $10 million which I believe is a good sign that the expansion is going well. So moving on to Colossus, Dave again is going to take us through more detail there and he’s going to provide more details on the technical aspects of that project. So I’ll move on to the market environments and acquisitions. For the past two quarterly calls, I’ve stated that I was moderately bearish in the short term, but still bullish on gold in the longer term. Today at Sandstorm we still feel that way. However, we are becoming more optimistic that we’re getting close to a bottom in the market. And as importantly, we are seeing signs of various forms of capital or once again seriously looking at potentially investing in mines. We’re not seeing material increases in fund flows to the mining industry yet, but we are seeing evidence of more capital looking to be invested in mining, which is an important first step of the basic functioning of the resource capital markets which is an important environment we need to see before we’re willing to make significant or large investments in new development projects. Overall, we are still looking at making new acquisitions and we’re working on a couple of royalty acquisitions. Currently we’re also starting to seriously consider making more material stream acquisitions, but we are taking our time and being highly selective in what we pursue. So from a high level perspective, Sandstorm is very, very well positioned with nearly $100 million in cash, no debt, significant cash flow from operations and we have continued to add to our base of royalties and we’re continuing to build the company in a steady and measured manner. With that, I will hand it over to Erfan, our CFO.
Erfan Kazemi: Thanks Nolan. During the third quarter, Sandstorm generated $15.4 million in revenue from the sale of 9,570 ounces of gold and from $2.7 million in net multi return royalties. The record gold sales made up for the decline on average selling price per ounce of gold which was $1325 in Q3, down from over $1400 in Q2 and over $1600 in the first quarter. The lower gold price, along with slightly higher cash comps reduced our operating margin by about 12%, with our cash flow from operations coming in at $8.6 million. The most significant contributors to our gold sales were Luna Gold horizontal mine in Brazil and Brigus Gold Black Fox mine in Ontario. Sandstorm’s attributable ounces from horizontal were close to 4,800 and from Black Fox just over 2,200 ounces. The production from horizontal was an increase of more than 100% compared to the previous quarter, primarily due to the 1,800 ounces of gold which were in transit at the end of Q2 2013 which I mentioned during our last conference call. The close to 2,200 ounces from Black fox was a 26% increase over the comparable period the three months in Q2 2013. The remaining ounces sold came from the Bachelor Lake Mine in Quebec, Canada, the Santa Elena mine in Mexico and the Ming Mine in Newfoundland, Canada. Specifically, 1,511 ounces were attributable to Bachelor Lake, 978 ounces to Santa Elena and 102 gold ounces to the Ming Mine. Our guidance for the year again is 33,000 ounces to 37,000 ounces of attributable gold production, increasing to approximately 60,000 gold equivalent ounces per annum by 2016. These targets don’t include gold attributable to Premier royalties NSR portfolio which we fully acquired in Q4 of this year. Before turning it over to Dave, I just want to touch on our available cash flow. Our cash position at the end of September was approximately 493.6 million, of which we only have $5.7 million that’s committed, that commitment being our previously announced $10 million contribution to Luna Gold stage one expansion Aurizona, of which we’ve remitted $4.3 million to date. With the cash on hand and our undrawn $100 million revolving line of credit, we’ve never been in a stronger position and we’re working hard to allocate that capital in a way that will grow the company and more importantly, build value for shareholders. Now I’ll turn it over to Dave for an asset update.
David Awram: Thanks Erfan. Overall there haven’t been that many changes in regards to the technical aspects of each of our mining partners since really the last quarter. The operators of Aurizona, Santa Elena and Black fox have all been very successful in keeping their all-in costs down and in fact have lower all-in costs than the average gold producing mine out there. The expansion programs at Santa Elena and Aurizona appear to be on time and on budget and we anticipate each of those assets to decommission their expansion projects at the beginning of the next year. Brigus has strung together a number of very good quarters where they have reduced their cash costs and all-in costs and they also had some great drilling success at depths within the Black Fox project. Just in the last two weeks alone, Brigus has announced impressive intercepts of the previously undrilled zone, results of over 40 grams per tonne over 26 meters and over 18 grams per tonne over 37 meters helps to demonstrate the exploration potential that we had hoped to see on the project when we made the original investment. The success also had prompted an additional drilling program and previous plans to put in 12 to 15 holes into this new zone over the next little while. Moving on over to Colossus and to Serra Pelada, that project continues to move forward. The remediation plan put in place in July is being followed and Colossus has been able to execute effectively on that plan to date. Dewatering rates are expected to almost double from September at 800 cubic meters per hour to 1500 cubic meters per hour in December. More wells are being implemented as we speak and to date, the output from these wells has exceeded the recharge of the water by 75%. So success is being made on that front. Underground development has progressed as of the revised general planning. They continue to progress at about 3.5 meters per day on at least four developmental phases, which is what was hoped for. The expectation is to have five access drives inter mineralization to commence the seeding of the gravity plant in early 2014. The gravity plant is mostly completed and the tailings facility as well on its way. Both are certainly on track to be completed prior to the starting of this plant. Also, phase one of the ventilation system has been implemented and the second phase of the installation system is currently being completed, all of which will be ready certainly in time by the time they start mining at the beginning of next year. Overall, the progress is being made since that setback and the dewatering issues experienced in July. As for some of the other projects, production continues to ramp up at Bachelor Lake. Metanor is initiating further exploration at that asset. The Ming Mine is also ramping up production and is demonstrating positive economics as Rambler Mines the copper zone underground on that project. That’s all I have for an update right now. If you have any questions on specific assets, please feel free to add during the question period that we are about to open up. Over to you, operator.
Operator: (Operator Instructions) Your first question comes from the line of Jeff Jackson with CIBC. Your line is open.
Jeff Jackson – CIBC World Markets: You answered my first question about I guess the increased disclosure on the Premier royalty portfolio going forward. But in terms I guess of Q4, can you provide any color on what we should expect in terms of revenue?
Nolan Watson: So far what we’re seeing is we expect Q4 to be similar to Q3.
Jeff Jackson – CIBC World Markets: And then maybe just a little more info on the deferred gold sales during Q3. Obviously this is out of your control, but I guess you can say this is a recurring issue going forward.
Erfan Kazemi: Yeah. Sometimes it’s just a timing issue and in some quarters we will have that issue and some we won’t. During quarter end what you see is a lot of gold companies will work very, very hard to sell any gold that they have on hand and they do it up to the last point in time and we get it right at the end of the quarter. We don’t have time to (inaudible) our accounts to turn around and sell it on the same days in every situation. So sometimes you’ll see a few ounces sitting on our balance sheet, sometimes you won’t. So it’s just a timing issue. We’ve already sold those ounces that were in inventory at quarter end.
Jeff Jackson – CIBC World Markets: So then for Santa Elena, can we expect, I think it’s 525 ounces to show up in Q4?
Erfan Kazemi: Yes.
Nolan Watson: That’s right.
Jeff Jackson – CIBC World Markets: And then you already touched a bit on Bachelor Lake. It seems to be showing some encouraging results. Just some thoughts on how you think the outfit is ramping up and how you think it will look post 2013. And just if there’s any I guess upside or downside to your current forecast from as is.
Nolan Watson: Bachelor Lake we’ve always thought very promising about the exploration expansion potential at the asset. It has taken a while for them to ramp up. It has had a number of pretty good quarters in a row. We were especially encouraged by their August quarter that they – August month production that they had. They are slowly but surely moving that project forward. It would be great if they had some additional capital that they could throw in there to speed things up. But as it sits, we still feel confident that they can continue to ramp up and get to that 5,000 ounce per month production level. In the meantime they are still doing a fair amount of exploration work there. There’s a lot of zones of mineralization that are in between the existing stopes. So it’s not like there’s a lot of development work that has to go into there. What has been very encouraging over the last several months is that they really have transitioned the bulk of the ore reporting to the mill coming from the stopes rather than from developmental which is what we saw prior to call it August through June and July, May, June and July. So what I do expect of that asset is to continue getting these good grades and then it depends on really how much tonnes which really depends on how many phases and how many stops they can get in to access. Now I think over the balance of this year and beginning of next year, it should be able to achieve that and if they can continue at these rates. Overall, I certainly expect that asset and I do expect it them have some very good drill success. They have had over this past year some very good success in that project. We’ll see that an asset going well. The mill works very well. The shaft is working well. There’s certainly no problems with that. It really depends on getting the types of tonnage that they need to get up there and reporting the right head grades. So far they’ve done a very good job. I’ve done a lot of continence in that operating team at the asset to be able to maintain the proper grade and certainly it may take a little bit of time, but certainly increase the tonnage.
Jeff Jackson – CIBC World Markets: I think in the last presentation I saw you were expecting somewhere around 13,000 ounces out of the projects. I’m just wondering maybe what attributable ounces are being carried in the budget for this year.
Nolan Watson: I think it’s 30,000 ounces for the year production from their mine is what we’re expecting.
Jeff Jackson – CIBC World Markets: So then you’d have to take the attributable amount off of that as well then?
Nolan Watson: So we get 20% of their production so it will now be 20% of that so 6,000 for the year.
Jeff Jackson – CIBC World Markets: And then I know you already touched on Colossus Minerals and provide a good update. Just will you guys be going out to the site again sometime this year to I guess see how the development is progressing?
Nolan Watson: We typically do go to the sites of our more material assets each year. We went down probably four, five months ago. And so we will be going in the next several months, although I’m not sure if it will happen in the next four weeks or so. But certainly we will be going down again.
Jeff Jackson – CIBC World Markets: And just one last question, maybe you can just give me a refresher on the capital commitment to work Santa Elena. I think yours will be about 20% of the forecast of $87 million. So does this still stand and I guess when will we expect this to come through?
Nolan Watson: It’s about $50 million that they’re planning on spending for the phase one ramp up. And our commitment was up to 17% of that. So to a maximum of $10 million. We’ve already advanced them nearly half of that. Sorry, you’re talking about the Santa Elena. So you’re referring specifically to the underground mine option which we have not yet optioned into?
Jeff Jackson – CIBC World Markets: Correct.
Nolan Watson: So for the underground mine option there, they’ve got certain amounts of upfront capital that they can deliver to us a schedule saying here’s how much Sandstorm your 20% of the costs are. Do you want to option into the underground mine? The nuance there though is that it’s not just 20% flat. It’s 20% of the cost associated with gold production. So it depends on what percent of revenue from the underground mine is going to be coming from gold versus silver. And so we aren’t quite sure what that number is. We’ve been running some calculations on it and it’s looking like it’s somewhere around 11% or so, which means we would have to pay – sorry, it’s about 55% or 56% or so which means we would have to pay 11% of that capital amount as our option price. So we’re still crunching numbers and nothing is set in stone right now. But $10 million-ish would be a good rule of thumb for what we anticipate that option to cost. And we will be optioning into it. So we’ve already made the decision that we are going to exercise that option when it’s presented to us.
Jeff Jackson – CIBC World Markets: Do you have an idea maybe of timeline of when that would occur?
Nolan Watson: We don’t, but I would expect it to happen sometime next year.
Operator: Your next question comes from the line of Dan Rollins. Your line is open.
Dan Rollins – RBC Capital Markets: On Santa Elena, in addition to the ongoing payment, would you have to commit anything to sustaining capital from the underground?
Nolan Watson: We are having that conversation with them right now. Certainly there’s no obligations for us to make ongoing payments other than the $450 per ounce. There’s a conversation going on right now as to what is this upfront amount, but I think the $10 million-ish number is a good approximation of what we would anticipate having to pay upfront. And then our ongoing payments would be the $450. It’s also worth noting that the original contract and I don’t think this point is actually very well understood by investors. The original contract contemplated a scenario whereby they would go underground early before the original pit mine life was anticipated to end, which is what they’re now doing. There’s a provision that says the $350 per ounce that we would pay does not become $450 per ounce until I believe it’s 50,000 ounces that Sandstorm has purchased. What that means is even in the underground mine, once we make that upfront payment, we will still be paying $350 per ounce until that threshold is hit at which point it will become $450 an ounce.
Dan Rollins – RBC Capital Markets: That’s excellent. That is great to know. Moving on to another one, not a lot of value but how are your negotiations going with your friends on the Summit property?
Nolan Watson: We have not had a lot of discussions with them just because of the materiality of the size of the asset. I think it’s less than 1% of our net asset value. We do have one of our corporate development people who has been having ongoing conversations with them about finding additional capital to move forward. There’s really not a lot of value that we can have in terms of having conversations about whether we’re going to pass until they’re able to raise more capital. So that’s more along the lines of what we’re focusing on for now.
Dan Rollins – RBC Capital Markets: And then maybe just touching base, I guess Prairie Creek has moved a lot further down the permitting stage. I think now it’s from – correct me if I’m wrong but fully permitted. Have you started having negotiations about potentially exercising their offer and moving to a stream instead of a royalty between the two Sandstorm companies?
Nolan Watson: Yeah. It was just over the last month that they got that permit. I think they’re finishing up some work here and are slowly turning their attention to how they’re going to finance it. We are not in active conversations with them about that, but we will certainly have those conversations I think when the time comes.
Dan Rollins – RBC Capital Markets: And then just touching base, you mentioned you’re looking closer at a couple of potential royalty opportunities. Are those royalties that would be in production or would they be similar to the Prairie Creek and Paul Isnard deals where there’s a royalty on more development stage projects but with the offer to convert it to a stream at a later date?
Nolan Watson: One of them is a really small royalty. It’s more the type of thing that Premier would have done. So it’s the type of thing that even if we do acquire we won’t be announcing it fairly immaterial. One of the other ones is a more advanced project. It’s slightly larger amount, but it’s still uncertain as to whether or not we’re going to be able to conclude that transaction.
Dan Rollins – RBC Capital Markets: And then just maybe one more broad question. I guess previously the streaming royalty model has been the third prong on a financing alternative for a lot of companies with equity and debt being the other two. Have you seen those markets from your own point of view, the equity and debt markets where you’re seeing your development companies could get? Has that begun to prove or are we still on a distressed situation from that side?
Nolan Watson: I think the market is still in a fairly distressed situation, but as I’m sure you’re seeing as well, more people are looking into the space than they were six months ago. So I think there’s more capital out there ready and willing to be invested in mining and not a lot of it is being deployed right now. So we’re very eager for some of that capital to be deployed so that we can deploy alongside with it.
Operator: Your next question comes from the line of Shane Nagel. Your line is open.
Shane Nagel – National Bank Financial: Guys, most of my questions have been answered, but maybe just, Dave, maybe really quickly, you touched on Bachelor Lake a bit and Black Fox, just how they’re keeping the all-in cash costs lower. Is there anything in any of these operations that’s got costs that’s concerning to you? Are they deferring essential spending in terms of underground development or anything else? Or are these levels in you guys’ opinion sustainable for long downtime let’s say in gold price environment?
David Awram: No. I think they’re doing quite well. You take a look at Black Fox and Black Fox right now has over seven years of reserves still ahead of them at this point. So if they needed to reduce their cost even further, they could cut off some of these exploration costs which I don’t think over the next two to three years would cause any significant issues surrounding any lot mine plan or life of mine plan operations. The same thing for SilverCrest in Aurizona as well too. There’s all the way up until the previous quarter Q2 Luna Gold was spending a fair amount of dollars on a per ounce basis doing some drilling where they’ve cut that offer now. So I don’t think there’s anything there that’s really implementing. There’s no plan of high grading in any of these assets. It’s really just following the existing plans and they still do have some basis to even reduce their all-in costs all together. They’re things like Bachelor Lake. Bachelor Lake does not have a very long life of mine associated with it. So at this point they have to do some more of that development drilling and definition drilling as it goes through into the resources, but the benefit is there is that it’s not very deep. The drilling that they’re doing in the bulk of the hole since they have to put into that definition drilling is not very long and they’ve got a couple of horizontal drill rigs. So it’s not a huge cost to be able to go out and do that work, especially since the bulk of that development into where those stilts would be created is mostly there already and mostly put in place. So I’m fairly confident on the bulk of the assets, certainly on the three main contributors, Black Fox, Aurizona and Santa Elena and to a certain degree maybe a little, slightly but still fairly strongly about with Rambler and Bachelor Lake. I’m pretty confident that they can sustain these well costs without having to worry about putting off important issues for years two or three from now.
Shane Nagel – National Bank Financial: And then just one quick one guys on the Premier. After I guess fully consolidating here in Q4, is there any significant change in some of the accounting assumptions that Premier was using versus your own? Are we going to see maybe another small write down at all beyond the $30 million of goodwill that you guys wrote off earlier this year?
Erfan Kazemi: We haven’t done any of those value allocations as at this point, but currently we are not expecting any write downs at this point and not that there won’t be any, but we certainly aren’t expecting any and I’m not aware of any.
Operator: (Operator Instructions) Your next question comes from the line of Dan (inaudible). Your line is open.
Unidentified Analyst: Guys, I just wanted to check back with Nolan. Last quarter we were reacting to the drop in prices and potential buyer’s remorse out there in doing deals anywhere around the media drop in gold prices. Can you describe the change in the marketplace? You mentioned before you maybe saw one, maybe two deals that you wouldn’t even consider at the end of the last quarter given the market. You seem to be a little more optimistic about this being a bottom. What has changed in the last three months with regards to the dynamics of deal making out there? Has quality improved? Has the buyer’s remorse been removed? Just explain if that’s improved enough for you to say that there’s more than a couple of deals now that you’d look at.
Nolan Watson: Certainly with respect to the industry when the gold price dropped precipitously everyone who had bought anything took a little bit of a breather in terms of buying anything just because they wanted to figure out where the market was going to end up. So I think we have a strong feeling now that the market is getting closer to a volume than it was before. I think that’s an obvious statement. I’m not confident yet that the market has bottomed. Not to say that it hasn’t, but I think that there’s a reasonable scenario where it gets a little bit worse before it gets better. But what we are starting to see is a number of institutional investors, journalists and value investors starting to look at the mining industry seriously. A little bit more from private equity, although they typically act too slow to actually have meaningful transactions done, but as well as various other debt providers and guys who like to provide converts in various things. So there’s a lot of capital that is ready, willing and able to deploy into the mining industry. They are trying to spot the bottom though before they jump in. we’ve recently been doing some marketing in various countries that are typically not mining investing jurisdictions and there are more investors that are willing to meet with us and talk about mining than there ever has been before. So that is an optimistic sign for me that we’re getting close to a market where it would make sense to do transactions. That’s important for us to stay on top of it because doing a streaming transaction can take several months at times. So we can’t wait until the market turns around to get really heavily involved in negotiating various things we need to start it a little bit ahead of the curve. So I guess what we’re saying is although we’re not going and trying to make material or large acquisitions in the next three months, we are starting to anticipate that maybe six to 12 months from now we will be wanting to. And so we’re starting to work on some things now that we think are good quality assets with good counterparties that we do think within a year capital will be available for them. So we’re working on those acquisitions now. I’m not sure if that provides much clarity, but I guess the moral of what I’m trying to say is that we are optimistic that we’re at the bottom yet, but we think that there will be one in the not too distant future and we want to be ready.
Operator: Your next question comes from the line of Matt Williams. Your line is open.
Matt Williams – Perpetual Investments: Going back to the Colossus asset, what is the anticipated CapEx spend by Colossus to build the platinum group metal floatation plan? And based on that number, do you guys have any reservations or concerns that Colossus will have enough capital on hand to fund that build out next year?
Nolan Watson: The detailed engineering hasn’t been done, so any numbers I give are just estimates. So we figure it will be $20 million-ish to build that plant. Again that’s just an estimate without detailed engineering having been done. I don’t think that they have the $20 million to build that plant yet. And so it will either have to come from cash flow from operations or further financing associated with it in whatever form that that financing comes in. I think looking at Colossus’s balance sheet, I don’t think I’m speaking as cool. I think that’s fairly well understood backed by people who follow Colossus closely.
Operator: I would now like to turn the conference back over to Nolan Watson.
Nolan Watson: Well, thanks very much everyone for calling in to today's investor call. And as always, feel free to call either Denver, Dave, Erfan or myself directly if you have any additional follow up questions. We're happy to walk people through the details. So thanks very much everyone and have a great day.
Operator: This concludes today's conference call. You may now disconnect.